Jan Erik: Presentation of Kongsberg. This session will be extended by a short presentation of Kongs Maritime as well as our new business area, Kongsberg Discovery. Before that, Chief Executive Officer and President, Geir Haoy, as well as Chief Financial Officer, Gyrid Ingero, will give you the results. Questions may be submitted through the webcast and throughout the session. And please include also your name when asking a question. With that, it's my pleasure to hand over to President and Chief Executive Officer, Geir Haoy.
Geir Haoy: Thank you, Jan. Good morning, everyone. So on behalf of Kongsberg, it's a great pleasure to welcome you to our First Quarter Presentation 2023. This is also the first time we present Kongsberg Maritime and Kongsberg Discovery as separate business areas. We have, therefore, extended this presentation with a deep dive into both areas that will come towards the end. For those of you who knows us well, it might not come as a surprise that we are about to present another strong quarter. But before we dive into the updates and figures, I will give you a brief explanation why I believe we repeatedly managed to do this. Kongsberg is first and foremost, a unique technology company, not only in Norway, but also globally. We are shaping the maritime future with green technologies enabling zero and reduced emission at sea. We are a true expert in the whole ocean space domain from advanced satellite technology operating at Mars and expedition to Jupiter. To underwater anchored drones and robotics, who gives the world more understanding on how we can manage all the valuable resources below surface. We make a true difference when it comes to security and defense, providing the world's most advanced and precise missile and air defense systems, providing security to people, nations and allies. The world demands more decarbonization and digitalization to reduce emission and meet the new climate regulation at sea. The new geopolitical situation demands more advanced defense systems. With our highly skilled people, deep domain knowledge, advanced technology platform, our business models and ability to maneuver in a more and more unpredictable world. I strongly believe that Kongsberg is very well positioned going forward. As you have probably or might have seen from the quarterly report released this morning, Kongsberg started 2023 with a very good momentum and strong results. We delivered NOK9.1 billion in revenue and generated EBIT of more than NOK1 billion. We had an order intake of NOK12.1 billion, and we continue to build the order backlog. The order backlog is now close to NOK67 billion, which provides a very good foundation for further growth. Our defense business has very high activity, and we are continue recruiting and building capacity for the future. Our potential for a number of prospects for the future missile contracts are increasing. In our civilian segment, we are enjoying strong market positions and are growing our businesses. I will come back to more details under the business area updates. But all in all, I'm very satisfied with our performance during Q1 and also our positions going forward. Kongsberg Maritime has delivered yet another very impressive quarter with solid revenue growth and also a NOK7 billion order intake leading to an order backlog of NOK19.1 billion at the end of the quarter. Looking at the chart to right, you see that the order intake from newbuilding market is very diversified, coming from a broad range of ship segments. We continue to sign orders from important segments such as the LNG, offshore wind and tugs. Over the first months of 2023, we have seen contracting of new vessels in the market, so somewhat down. We are also still signing orders on vessels contracted in 2022. And the market for LNG carriers is a very good example here. In 2022, it was on average placed orders for 15 LNG carriers every month. So far in 2023, the comparable figure is six per month meaning that the contracting for us, most likely will come somewhat down during the year. That said, six per month is still an okay level and orders like this plays today. Typically, will get delivery time sometime in 2027, meaning that we keep on building on the latter part of our backlog. Yard capacity is a natural limitation on how many vessels being built at any specific time. The way the delivery time distribution of our backlog has moved over the past year is a good illustration of this. When we presented Q1 last year, 43% of the backlog was to be delivered a year or more out in time. Now the corresponding figures is actually 68%. That said, we do see solid faith in the areas with shorter lead time from orders to deliver as well. In Q1, we saw continued strong development in the aftermarket part of Kongsberg Maritime, coming from shipowners investing to have their fleets becoming more sustainable both on the back of meeting the current regulations as well as being compliant when new and even stricter regulation are kicking in. All in all, we see a mixed overall demand picture, but that said, with the current phase, KM will continue to grow. Turn over to Kongsberg Defence & Aerospace. KDI continues to grow, and we see growth driven by the same areas as we have seen over the past year, Air Defense and missiles. We signed defense orders, worth NOK3.8 billion during the quarter, meaning our defense backlog continues to grow. The two largest orders were signed in our Missile division. One of them, a NOK2 billion contract with an undisclosed customer. The second order we signed was for delivery of ship equipment related to the U.K.'s Royal Navy selection of the Naval Strike Missile announced in Q4 last year. It is worth mentioning that this contract is for the ship equipment and not for the missiles itself. The interest and demand for our results, both Naval Strike Missile and the Joint Strike Missile is stronger than ever, and it is increasing. Half a year ago, we said that we expected missile orders over the next 12 to 18 months to add up to more than NOK15 billion. We have already secured NOK10 billion out of the NOK15 billion. There are two nations that have announced that they intend to purchase NSM, where we have not yet signed delivery contracts. This is Spain and United Kingdom. In addition, in the U.S., the President's proposal for the fiscal year 2024 budget has recently been released. In this proposal, there are test for both in Naval Strike Missile as well as the Joint Strike Missile. With regards to the Joint Strike Missile, the request is for some USD 16 million for the fiscal year 2024, meaning a solid opportunity. With regards to the Naval Strike Missile, it has also been announced that they intend to enter into a multiyear agreement, meaning if this results in a contract for us the contract could potentially exceed NOK10 billion and be signed sometime during the fiscal year 2024, which is from October to October. In addition to the missile demand that is increasing, we also see strong demand for other product lines such as the -- as for the example, the NASAMS air defense. Going forward, with the current situation, we -- where we experienced increased defense spendings and budget, we expect demand for our product lines to remain strong and KDA will continue to grow. Then over to our new business area, Kongsberg Discovery has delivered a solid quarter and delivered a book-to-bill of 1.14. The nature of this business is numerous smaller contracts with some large from time to time. In Q1, one of these large contracts was for HUGIN Superior to our European defense customer. The HUGIN Superior is a very flexible autonomous underwater vehicle for a range of applications around inspection, mapping surveying and surveillance, among others. Last year, we experienced a record high order intake for HUGIN with more than NOK800 million worth of orders. This is one of the main reasons we experienced growing revenues now in Q1. Towards the end of today's presentation, you will get an introduction to our new business area, Kongsberg Discovery. Then to Kongsberg Digital. Kongsberg Digital, they continue to roll out both the new digital twin and Vessel Insight systems. In Q1, two new assets were digitalized. We also see solid progress when it comes to a number of users, and we have now more than 15,000 users on our Kognitwin Digital Twins solution. We are also seeing growth in the number of Vessel connected to the cloud through Vessel Insight. The most important contracts signed by Kongsberg Digital during the quarter was the multiyear commitment agreement signed with integrated energy company, Chevron Technical Center, a division of the Chevron U.S.A. to digitize their global asset using Kongsberg Digital digital twin technology. The contract, which was signed in January 23 represent expansion of work performed on earlier signed contracts with a commitment multiple asset deployment plan and further applications. Together with the contract with Shell signed in December 2022, this contract confirms a committed rollout plan and will support growth for KDI going forward. While there is no secret that we have high expectation for KDI as digitalization of the maritime market and the heavy asset industries are a significant contributor to optimizing these industries. The market is still somewhat immature. This is particularly true in certain maritime segments. That said, we see movement and positive signs. Further the energy transition to new and sustainable energy sources is an important driver for our digital solutions. Therefore, we expect increased demand for the business area solutions going forward. And our growth ambition for KDI remain unchanged. And now it's a pleasure and it's time for me to introduce you to our new Chief Financial Officer. When Gyrid decided to resign a few months ago, I immediately started the work of finding her successor. I'm very pleased that we managed to find our new CFO internally. And Mette has already racked Kongsberg in two years as the CFO of Kongsberg Defense& Aerospace. And before that, she has a solid experience both from Ekornes as the CFO as well as various financial and analytical position at Equinor and Carnegie. It is only two weeks since she entered the office, but she's already in control of our finance. So with that, I leave the floor to Matte Toft to take us through the financials highlights.
Mette Toft Bjørgen: Thank you, Geir. Good morning, and well, thank you for attending our Q1 2023 results. Geir has already touched on the big picture, dived into our order situation and disclosed our backlog profile going forward. I am both humbled and proud to present the results for the quarter. Before we dive into more details, I would like to put the results into a larger perspective. We have never delivered higher revenues in the first quarter before. This quarter's revenues are actually the second highest quarter ever for us, just slightly below Q4 that was presented a month ago -- a few months ago. And as most of you are familiar with, Q4 in Kongsberg is typically very strong when it comes to revenues compared to the previous three quarters. With regards to the operating profits, you will see that we are changing our focus from EBITDA to EBIT. However, both EBITDA and EBIT can be found on an aggregate level as well as for the business areas in our current and future quarterly reports. If we also put this quarter's EBIT into perspective, you will see that we report an EBIT this quarter higher than any single full year during the period 2015 to 2018. And more or less the same as 2019 as a full year. With regards to our operating profits, we have laid down the first brick to build the foundation for another strong year. That said, it's important to remember that we previously have seen and we will continue to see fluctuations between quarters. In total, we expect another good year. We are on a strong and profitable growth path. And by adding that to Geir's comments around the order backlog and future prospects, this is a path we aim to continue. We are delivering a record first quarter with NOK9.1 billion revenues. This corresponds to 29% growth compared to Q1 last year. In nominal values, maritime and defense are the ones contributing the most with more than NOK800 million increased revenues each. For maritime, this corresponds to a 24% year-on-year growth. The growth comes on the back of a strong order intake signed the previous years as well as an aftermarket business that continues to grow. For defense, the growth corresponded to 43% year-on-year. The main drivers for the growth are our missile division and our Integrated Defense Systems division. Missile volumes are increasing rapidly. And adding that to what Geir mentioned about the future prospects, we anticipate a continued strong growth. With regards to Integrated Defense Systems, the growth is primarily tied to the two large NASAMS air defense projects under delivery to Hungary and Qatar. I'm also pleased to see that our new business area, Kongsberg Discovery is growing. Kongsberg Discovery had a record last year when it came to order intake on the autonomous underwater vehicle, HUGIN. Several of these contracts are now in production and contribute to growing overall revenues. For Kongsberg Digital, focusing on Software as a Service sale, growth is a key to future success. Therefore, it's good to see that the growth continues. Total revenues grew 33% year-on-year, but even more important, recurring revenues continue with a higher growth. A year ago, recurring revenues corresponded to 46% of total revenue. And in Q1 this year, recurring revenues accounted for 49%. And this is a result of more assets in operation, more users on the systems in addition to an increasing level of recurring revenues related to the already established business. If we look at our operating results, operating results for the group came in at NOK [1.019] billion for the quarter, which is a solid improvement from last year even when adjusting for two quarterly effects related to an extraordinary appreciation and provisions adding up to NOK182 million. The absolute EBIT level is also driven by our two largest business areas. Kongsberg Maritime came in at NOK508 million, corresponding to an EBIT margin of 11%, which is a solid improvement from last year. Operating results in Maritime last year was affected by NOK139 million related to the reasons already mentioned. But even when adjusting for these two, the EBIT margin improved by 2.3 percentage points. The improvement comes at the back of increasing volumes also showing solid efficiency improvements in the business area. That said, in Maritime as well as in the other business areas, margins reported in individual quarters are impacted by project mix and can fluctuate. Operating results in Defense came in at NOK541 million, corresponding to a margin of 15.3%. And margins in Q1 last year were impacted by one of the same effects as maritime as well as delayed deliveries on remote weapon stations. Adjusting last year's figures for these margins are basically on par, and we are still delivering on a very favorable project mix. The strong project comes on the back of years with extremely strong project execution. Defense will continue to deliver strong margins. But over the next years, we expect the margins to normalize towards our targets earlier announced. Kongsberg Discovery delivers NOK117 million in operating results corresponding to a 12.8% EBIT margin, slightly above last year's level. The improvement comes from both growth and strong project execution. It is worth mentioning that the project mix in Discovery is more skewed towards smaller projects compared to especially maritime and defense. As we have said earlier, Kongsberg Digital continues to scale the business, both with regards to scale as well as in general capacity. This will continue to affect EBIT during this year also, which is according to our plan for the business area. Earnings per share for the quarter came in at NOK4.21, which is up from 2.3% in Q1 last year. and we delivered net earnings of $771 million for the quarter. As you can see from this slide, working capital in Kongsberg fluctuates between quarters, and this is to be considered normal. The main driver for this is the payment and delivery profiles on the large programs we run in defense. We received major payments in Q4 last year compared to this quarter where the milestone payments have been less. In Kongsberg Maritime, we have seen a slight increase with regards to net working capital to revenues over the past year. This is a combined result of increased receivables that have come with the growth and also somewhat higher inventories to secure that we are capable of making our deliveries. From Q1 this year, we have split the working capital between Kongsberg Maritime and Kongsberg Discovery. Due to the nature of the business that you will learn more about from Martin in a short time, Kongsberg Discovery needs a higher level of inventory. A major portion of the business area sales are sold with short lead times and the production time is significantly longer, requiring higher levels of inventory compared to other business area in Kongsberg. If we look at the cash flow development, we delivered an EBITDA of NOK1.4 billion. I touched on the working capital development on the previous slide. And as you can see, this is the main movement in our cash flow during the quarter. In addition, our investing activities are increasing, and the main reason for the increase is the new missile production facility that we are investing in. Geir has previously touched on the major opportunities we see both for Naval Strike Missile and Joint Strike Missile. And this investment is necessary to deliver on our obligations. We also have bought back some 72,000 shares during the quarter. 32,000 of these were related to a share program for all employees with record-high attendance. More than 5,200 of our employees chose to subscribe for the plan. And we will be in the market until approximately mid-June to fulfill this program. At the end of the quarter, we have NOK3.6 billion in cash. With regards to our associated companies, the two largest are Patria and Kongsberg Satellite Services. If we look at Patria, Patria delivered a 6% growth compared to the previous year with about EUR 85 million in revenues for the first two months of 2023. When we report quarterly figures from Patria, we are one month late, meaning Q1 only consists of January and February, and Q4 catches up by inclusion of four months. This is one explanation for Kongsberg's profile on the Patria figures. That said, Patria announced their full Q1 result this morning and is reporting at 13.5% Q1 growth year-over-year, which means that March came in as a strong month. With an order backlog worth NOK1.75 billion. This gives comfort going forward for Patria. After the quarter, Patria has also announced that they have sold 26 by six vehicles to Sweden and Germany has made progress with the announced intention of joining the Common armored vehicle program by signing a technical agreement. Kongsberg Satellite Services continues the positive path from previous year and reports a revenue growth of 24% in the quarter and a steady growth in EBIT as well. KSAT has a strong order backlog of NOK4.5 billion, which stretches out over several years. We expect KSAT to deliver growth in both revenues and EBIT for the year. The backlog from our associated companies is not recognized in Kongsberg's reported backlog. And the contribution to Kongsberg from associated companies is recognized as income from associates in the P&L. With that, I'll leave the floor for Geir to give you some more information on our current outlook.
Geir Haoy: Thank you, Mette. I think we have touched on the status as well as the outlook for the different business areas previously. So I will not go into all the details. Anyway, we see a strong future for our total business. In defense, we have a strong backlog and increasing number of prospects. In Maritime, we experienced a positive sentiment in our high-value segments and the aftermarket continues at a high pace. With regards to Kongsberg Digital, we are continuously increasing the scale of the business, and we will keep on investing and aim to deliver on our targets. Kongsberg Discovery is established on a basis of very strong positions in several areas and is positioned to continue the growth. All in all, we are operating in a unpredictable world. Unpredictability though, also comes with opportunities and with our proud history, both delivering on and adapting to changes as well as with both our current portfolio and also ongoing initiatives. I am firmly confident that we will continue our sustainable growth, but also in 2023. Protecting people and planet is a good description of our overall portfolio. This slide shows an overview of our universe we are involved in critical operations from deep sea to outer space through our business portfolio. Kongsberg is a front-runner and will continue to be shaping the maritime future by developing new opportunities throughout the ocean space. To continue this journey, we have established Kongsberg Discovery, previously Sensor Robotics as a separate business area. The market development and trends we see accelerating both for Kongsberg Maritime and Kongsberg Discovery, require tight approach and focus, establishing a new business area and at the same time, focusing Kongsberg Maritime will make us even more agile and unique and strengthen our business as a whole. Kongsberg Maritime is Kongsberg's largest business area with more than 6,300 employees with Kongsberg Discovery as a separate business area, it is Kongsberg's ambition to further strengthen our core areas. At our Capital Market Day in June last year, we launched our 2025 targets. The initial of Kongsberg Discovery as a separate business area does not affect our overall targets. We still aim for a revenue of more than NOK40 billion in 2025 for Kongsberg Maritime, Kongsberg Defense& Aerospace and Kongsberg Discovery. And on top of that, this -- we still have separate targets for Kongsberg. Kongsberg Maritime's previous target was NOK23 billion revenues out of this NOK23 billion, NOK4 billion are to be delivered from Kongsberg discovery. We also stick with our margin target the overall EBIT target for the group is 12% in 2025. We will not split this target at the moment, but we aim to come back on our next Capital Market Day plan for the spring next year with a deeper dive into the margin targets as well as evaluation of our status on the road of reaching our targets. Now, it is my pleasure to have Lisa Edvardsen Haugan, President of Kongsberg Maritime; and then Martin Wien Fjell, President of Kongsberg Discovery to give you an overview of their respective business areas. After this, we will come back to the Q&A session.
Lisa Edvardsen Haugan: I'm happy to have the opportunity to present Kongsberg Maritime today. We are very proud of calling us the ocean space experts. Kongsberg Maritime offers solutions and products within a broad sector of segments in the maritime domain from the most advanced offshore and specialized vessels to efficient freight and passenger transport. We have had a strong position within these segments for decades. It is through this position. We have built up our competence within Marine business and how vessels are operated. Our deep domain knowledge about marine operations coupled with our own technology backbone and products are difficult for others to copy. To stay in the forefront, we invest more than NOK1 billion annually into technology to support greener, smarter and more efficient vessels. The order intake within both new builds and aftermarket has been strong in both 2022 and in Q1 this year, ensuring an all-time high order backlog. The backlog will be delivered over a longer period than what has been normal the last couple of years. This is mainly due to the yard capacity being fully booked for several vessel types. However, this gives us a longer visibility and security for the next two to three years. The fact that we have an installed base of more than 33,000 vessels with our equipment on board also gives us a solid revenue base. The aftermarket part of our business moves faster than new sales with shorter delivery times. Due to this, only the upgrade projects are typically included from our aftermarket in our order book. An interesting development we saw in 2022 is that revenues from the renewables sector is picking up quite fast. Last year, we had more than NOK1.7 billion of new sales from renewables. Our vision is to shape the maritime future. here there's a vection that has three equally important anchors. Firstly, we want to be the customer's first choice. We are here to create value for our customers and to achieve this, we must remain both profitable and competitive. We will always have a strong focus on providing real value from the technology investments made by our customers. Secondly, we live on and off the ocean resources. It is our duty as a technology provider to deliver smarter, greener and more efficient technologies. The route to decarbonization and zero emissions is a journey we are devoted to. Thirdly, it takes the best of people to shape the future. Our global team brings a wide range of competencies and backgrounds to the table. We have highly competent employees who are willing to go the extra mile. According to a recent report by UMA in the U.K., USD 1.4 trillion is required in capital expenditure to achieve a 50% cut in emissions by 2050. Most of these investments, 87% will required for upstream projects and 13% will be linked to the sailing fleet. For the maritime industry, the journey to carbon zero is challenging. But for us, as a technology provider, this also represents a major business opportunity. We are enablers of reduced emissions from shipping. This comes with a sense of duty. We are obliged to use our competence together with our customers to the benefit of a sustainable ocean economy. Today, we experienced that the pace of the energy transition within the maritime industry are driven by four key factors: available technology, available fuel, access to funds and cost of noncompliance. There are three disciplines of competence that we believe are critical to support the mission of our customers: electrical, energy and digital. Both Kongsberg Maritime and the other business areas within the Kongsberg Group have a strong competence within all these areas today. Integration between systems is key to efficiency and reduced emissions, meaning we must have a holistic view on control electrical, digital and mechanical systems on board ship. KM has an advantage as a system integrator with a vast product portfolio domain knowledge and insight into the marine operations. On this slide, you see six important products areas supporting the green transitions. These are areas where we have close dialogue with the market, our R&D partners, suppliers and customers every single day. A focus on systems and integration leads into a wide range of interesting projects and solutions. And here are just four reasons to give you a small glips into the world of maritime technology. Tärntank this Swedish operator has just ordered three methanol ready wind-assisted chemical tankers. Our job is to apply ship design, engineering and equipment. This shipowner has a new and flexible approach to hybrid power, where our competence as integrators really comes into play. One other ship owner that has chosen technology of the Kongsberg Maritime to be compliant to the new energy efficiency ship index is [indiscernible]. Big results are here achieved through minor upgrades and retrofits. We provide propulsion control systems on board about 40 of their vessels in their rural fleet. A really good example from one of the manning green upgrade project in our aftermarket business. Our project together with Reach Subsea represent one of our truly high-end projects within the renewables segment. The picture shown behind me is an unmanned offshore surface vessel, which will serve as a mobile power bank, a data center and a communication module for underwater ROEs. And it will, of course, be operated remotely from an onshore control center. Remote and autonomous keep setting us apart from the competition as leading innovators. We are involved in a number of projects and deliveries and ASKO's vessels delivering groceries is just one of them. Our job is to provide a navigation system and tech that can make these vessels into efficient remote control freight machines. To position KM as the preferred partner for our customers and drive the industry towards zero mission. Our growth strategy focused on the following key pillars: delivering mission-critical, differentiated and sustainable products, enhancing our market-leading integration capabilities, leading the digitalization drive to improve efficiency and sustainability, becoming a trusted partner for our customers' energy transition needs and, of course, establishing a strong presence in emerging ocean space markets. Through these pillars, we aim to drive the next decade of growth, and we feel confident that with a culture built on our values and focusing on being curious and agile. We have a team ready to meet our targets. To focus on our strategic direction, we have done some organizational changes to the Kongsberg Maritime organization. Our organization now consists of three product divisions: integration and energy, automation and control and propulsion and handling. And when the vessels are delivered and in operation across the world, our customer support division has responsibility for service, upgrades and will support on all our deliveries. The whole organization is supported also by a global sales network and to operate close to where our customers are, we remain present in 32 countries. The shipping industry has undergone significant technological shifts throughout history, driven mainly by the need to improve efficiency and safety. Some of the major technology shifts include the development of sales, the invention of steam engines. Use of containers in the 1950s and '60s was also a major technology shift for shipping. And of course, most new ships since 1960 have been built with diesel engine. The digital age is putting data to work and using artificial intelligence and other advanced technologies to navigate and operate without human intervention. At the same time, electrification has grown significantly, both as a power source and inside the onboard technology. So what's next? Kongsberg has a proud history of innovation. The development of ship propulsion system at the end of the 19th centuries to today's digitalized marine technology is just one example. It is also intriguing to see wind coming back as a mover of ship. As I mentioned earlier, with the project for Tantan. What I do know also is that we will not rest on our laurels. We are curious about exploring the future needs of the maritime market, drive innovation, and we are determined to shape the Maritime future together with our customers.
Martin Wien Fjell: Yes. Good morning, and welcome to this very first investor presentation of Kongsberg Discovery, the latest business area in the Kongsberg Group. I will give you a short introduction to what we do and what we can do. Kongsberg Discovery is a business area with about 1,000 employees globally and an order intake in 2022 of NOK3.6 billion. We have four product divisions. It's ocean technologies, where we focus on hydroacoustic technology for identifying what is on and below the seabed objects in the water column and also object close to the surface. We have the Marine Life Technologies division, where we provide echosounder, sonars and catch monitoring systems for the fishery segment. We also have a division called Seatax. Seatax is delivering products and solutions within areas such as satellite positioning, measuring movement of marine vessels and objects, radio, laser technology and also the control management of seismic operations. Lastly, we have the uncrude Platforms division. This division develops and delivers AUVs and USBs with sensor packages from the other three divisions. All the divisions, except for the Marine Life Technologies, deliver products and solutions, both to commercial, governmental and naval customers. We also have three functions covering all of the product divisions. These are sales and marketing, customer support and supply chain. Kongsberg Discovery has a proud history originally founded as Simonsen Radio back in 1947, with the aim of commercializing naval sonars from the detection of submarines, all the way to fishing sonars for the fishery fleet. The first commercial EcoSounder was delivered in 1951 and the first sonar in 1953. Since then, more and more products have been developed and offered to different markets with some highlights being the motion reference units, the autonomous underwater vehicles and also the synthetic aperture sonar and the [indiscernible]. Our product range origins from the combination of our own developments, products being developed in close collaboration with partners and products obtained through acquisitions. Over the years, this has created a large installed base. This is an overview of some of our products. So far, we have delivered more than 100 HUGINs. We have delivered more than 4,000 hypos and more than 20,000 transponders for underwater positioning and navigation, and we have delivered more than 20,000 motion reference units. Our products are truly serving the entire ocean space. This is a picture that you will recognize from the other business areas of Kongsberg. What I would like to do is to indicate some examples of what we in Kongsberg Discovery deliver. Kongsberg Discovery, we deliver the fish finding sonar and the echosounder for the fishing vessels. We also provide the hydroacoustic underwater positioning and navigation relevant for deep sea exploration as well as positioning of vessels. We provide underwater mapping systems for research vessels. We provide AUVs, for example, for underwater infrastructure surveillance. We provide naval sonar for submarines and naval vessels, and we provide the digital, reliable, high-speed communication between vessels and assets. And this is just to mention a few. And you can ask, this is a broad exposure. What is it from? Why can you deliver all of these different products? And that is our strong technology backbone. We have a combination of a very strong technology. We have a strong technology understanding and not least, we have a good understanding of the markets they serve. And if I start with the -- from the left, the hydroacoustic. This is where we use sounding water to map the ocean from the seabed to the water column, mapping how the seabed looks like, what it consists of minerals, mines, positioning of vessels and all of this. To do this -- and to do this with the accuracy needed to support research and navies, strong competence is needed within a range of technologies, including material technology and also signal processing. If we move on to inertial navigation. This is what allows us to accurately navigate for days and weeks, thousands of meters below the surface. Robotics, this is where we develop advanced platforms to carry payloads, including our own hydroacoustic payloads, satellite positioning, laser technology for both situational awareness and relative positioning and not the least, radar and communication. Also, we are closely following disrupting technologies to understand how they can benefit the rest of our technology platform in the future. Together, this is creating common technology with embedded software. Based on our technology backbone, we then use this to deliver products and systems that we sell to a range of markets through direct sales, Kongsberg market channels such as Kongsberg Defense and Aerospace and Kongsberg Maritime and also our dealer network and market representatives. In terms of size, about 75% is sold directly, 15% is sold through our assisted business areas within Kongsberg and about 10% is sold through dealers. 60% of our revenue is coming from the commercial market, 20% from naval and 20% from other governmental customers. Kongsberg Discovery is well positioned for two of the most prominent trends these days, and that is sustainability, and it is security. Starting with sustainability. Our AUV significantly improved the environmental footprint and efficiency of collecting data from the ocean. Instead of only being reliant on, for example, a large research and/or naval vessels, you can combine the vessel with USVs, or AUVs and significantly reduce the environmental footprint. Also, our EcoSounders are the market standard for monitoring biomass globally, ensuring sustainable fisheries. As for security, our AUVs are inspecting pipelines and other critical subsea infrastructure and we have a newly developed generator that can be used to identify drones. In Kongsberg Discovery, we have a strong and global presence. And we combine this presence with Kongsberg Maritime, and we are able to serve the customers wherever they are in the world and wherever they are operating. In addition, we have important product centers in Spain and Canada as well as strong delivery capacity in, for example, the U.S., enabling us to deliver U.S. governmental and naval contracts. And then to summarize. Kongsberg Discovery is well positioned, and we are really well positioned for growth. And I'm so looking forward to continue the work together with the team. Our markets are significant and they are growing. We have strong market positions and strong product portfolio, and this will enable us both to retain and increase our market share, and we are targeting new markets. And with that, thank you for your attention.
Geir Haoy: So I hope you found the presentation from Kongsberg Maritime, and our new business area Kongsberg discovery, interesting. And then we open for the Q&A session.
A - Jan Erik: Okay. We have a few questions from the webcast viewers. And the first questions are from analyst Vidar Lyngvær in Danske Bank. The first question goes with the submarine contracts to Germany. When do you expect to complete this contract?
Gyrid Ingero: Well, we cannot disclose the exact completion date of the contract. However, we expect the delivery project to continue for more than a decade going forward.
Jan Erik: And another question related to Kongsberg Defence & Aerospace with regards to the remote weapon stations. You have previously talked about delays due to component shortage. How is the ramp-up going here? And any visibility on when this will be resolved? Could you also comment on the margins on these products relative to the average of -- for defense?
Gyrid Ingero: Okay. I can comment on that. Unfortunately, we cannot comment on margins on specific projects. However, when it comes to the component situation, we do see an improvement in this year compared to last year. We will, however, see that certain components we will have some challenges also in 2023, but definitely an improvement on the components overall situation.
Jan Erik: And a question on Kongsberg Defense and Aerospace with regards to capacity, in which products do you see that you are approaching full utilization of capacity. And do you have any reasonable opportunity to expand capacity for those products towards 2025, 2026?
Geir Haoy: Yes. I think I touched upon that already in my presentation. We are investing in new capacity. We have already said that we are now investing in the new missile factory -- we are also doing some adjustment in the capacity of the composite at Arsenal. So I think we are -- we have been working with our own capacity as well as our entire supply chain. So I think we are quite good and ready for the increase that we see in the market and also looking at our order backlog.
Jan Erik: And then a question on Kongsberg Maritime. Your scope in offshore wind is typically larger than in other segments. What will drive new contracts in offshore wind for you? Is it mainly new build orders of vessels? Or is it affected by other factories as well?
Geir Haoy: Yes. Of course, it's the demand of that type of vessel out there. But I think what will drive this is actually the speed of the field development of the offshore wind. We have seen an increase in the recent couple of years that there are new tonnage coming out. And again, depending on the speed and acceleration of the offshore wind field, I think that will be the driver for new builds in that segment.
Jan Erik: And then we'll move to two questions from Virginia Montorsi Bank of America. In the Maritime outlook for 2023, you mentioned good order intake was expected for -- from markets with higher value. Could you give us an example of these markets? And also, could you talk about percentage of sales that these markets typically represents.
Geir Haoy: Yes. I think I mentioned some main markets here. It's obviously the LNG market. We have the offshore wind. We have research we have naval market, which is normally regarded as high and vessels. I think roughly around 50% of the sales is not exact, but around 50%, I think, of the revenues.
Jan Erik: And the second question, with regards to the LNG carriers in Maritime, could you disclose what percentage of revenues that comes from LNG?
Geir Haoy: We don't disclose exact revenues from one segment. But in -- you saw the diverse fiction in the order and the sales -- the revenue streams and order intake. And I think LNG is a very important part of the revenue streams in Kongsberg Maritime these days, and I think it will continue to be that for the next year and so.
Jan Erik: And then a question from Hans-Erik Jacobsen from Nordea. Given the exceptionally strong order intake and positive outlook, do you see any limitations regarding your own production capacity or for your sub-suppliers?
Geir Haoy: I think I already answered that question. But we are -- we have been working with our capacity for several years now. We are investing in capacity. We are continuously recruiting more people. And we have also been working with our entire supply chain to make sure that they are also up to the new, let's say, capacity target that we see coming forward. So I think we are quite prepared for the backlog and also the prospects that we see out there.
Jan Erik: Thank you. That concludes the questions from the viewers.
Geir Haoy: Thank you.
Gyrid Ingero: Thank you.